Operator: Good morning and welcome to the PennantPark Floating Rate Capital’s First Fiscal Quarter 2018 Earnings Conference Call. Today’s conference is being recorded. At this time, all participants have been placed in a listen-only mode. The call will be open for a question-and-answer session following the speakers’ remarks. [Operator Instructions] It is now my pleasure to turn the call over to Mr. Art Penn, Chairman and Chief Executive Officer of PennantPark Floating Rate Capital. Mr. Penn, you may begin your conference.
Art Penn: Thank you and good morning everyone. I would like to welcome you to PennantPark Floating Rate Capital’s first fiscal quarter 2018 earnings conference call. I am joined today by Aviv Efrat, our Chief Financial Officer. Aviv, please start off by disclosing some general conference call information and include the discussion about forward-looking statements.
Aviv Efrat: Thank you, Art. I would like to remind everyone that today’s call is being recorded. Please note that this call is a property of PennantPark Floating Rate Capital and that any unauthorized broadcast of this call in any form is strictly prohibited. Audio replay of the call will be available by using the telephone numbers and PIN provided in our earnings press release as well as on our website. I would also like to call your attention to the customary Safe Harbor disclosure on our press release regarding forward-looking information. Today’s conference call may also include forward-looking statements and projections and we ask that you refer to our most recent filings with SEC, for important factors that could cause actual results to differ materially from these projections. We do not undertake to update our forward-looking statements unless required by law. To obtain copies of our latest SEC filings, please visit our website at www.pennantpark.com or call us at 212-905-1000. At this time, I would like to turn the call back to our Chairman and Chief Executive Officer, Art Penn.
Art Penn: Thanks, Aviv. I am going to spend a few minutes discussing financial highlights, followed by discussion of the portfolio, investment activity, the financials, and then open it up for Q&A. For the quarter ended December 31, we invested $177 million in primarily first lien senior secured assets at an average yield of 8%. PennantPark Senior Secured Loan Fund or PSSL continued to grow. As of December 31, PSSL owned $148 million diversified pool of 25 names, with an average yield of 7.3%. Core net investment income was $0.25 per share. As of September 30, our spillover was $0.45 per share. In addition to being active on the investing front, during the quarter, we recapped the entire right hand side of the balance sheet with attractive financing. In October, we issued 6 million shares of equity and in November we amended, extended and upsized our attractively priced L-plus 200 credit facility and also issued long-term unsecured bonds at an attractive fixed rate of 3.83%. We are actively investing the proceeds of our debt and equity financings into well-priced and structured first lien secured floating rate loans and into PSSL. As we invest, we expect that our NII will grow to more than cover our dividend on a sustainable basis. Our primary business of financing middle-market financial sponsors has remained robust. We have relationships with about 400 financial sponsors across the country and elsewhere that we manage from our offices in New York, Los Angeles, Chicago, Houston and London. We have done business with 181 sponsors, to-date. Due to the wide funnel of deal flow that we received relative to the size of our vehicles, we can be extremely selective about what we ultimately invest in. We remain primarily focused on long-term value and making investments that will perform well over several years and can withstand different business cycles. Our focus continues to be on companies and structures that are more defensive, have low leverage, strong covenants and high returns. As credit investors, one of our primary goals is preservation of capital. If we preserve capital, usually the upside takes care of itself. As a business, one of our primary goals is building long-term trust. Our focus is on building long-term trust with our portfolio companies, management teams, financial sponsors, intermediaries, our credit providers and of course, our shareholders. We are first call for middle-market financial sponsors, management teams and intermediaries who want consistent, credible capital. As an independent provider, free of conflicts or affiliations, we have become a trusted financing partner for our clients. We are pleased that we have been approaching this investing market with substantially more capital and resources in order to drive significantly enhanced self-originated deal flow. This enhanced deal flow has meant that we can get more looks and be even more relevant to our borrower clients. Being more relevant means that we can be increasingly selective about which investments we make as well as giving us the ability to be an important leader in transactions who can drive terms. We have taken several steps in order to build this increased relevance over the last few years including the MCG Capital merger, the addition of senior and mid-level professionals across different geographies to follow on equity offerings, the launching of PSSL and our recent bond offering. PSSL is our joint venture with Trinity Universal Insurance Company, a subsidiary of Kemper Corporation. Similar to PFLT, PSSL invest primarily in first lien secured loans for companies that are more defensive, have low leverage and have strong covenants. PSSL has the additional benefit that PFLT and PSSL together write larger checks for our sponsor clients and could to be more relevant to them driving enhanced deal flow and better terms. We expect the ROE on our overall investments in PSSL to be in the low to mid-teens which should be accretive to PFLT and increase net investment income over time. Although PFLT’s investment in PSSL is considered as a non-qualifying asset with still a plenty of cushion since only a 13% of the maximum 30% basket is currently non-qualifying. We are actively considering a second senior loan joint venture. As a result of our focus on high quality companies, seniority in the capital structure, floating rate assets and continuing diversification our portfolio is constructed to withstand market and economic volatility. The cash interest coverage ratio, the amount by which EBITDA or cash flow keeps cash interest expense continue to be a healthy 3.1x, this provides significant cushion to support stable investment income. Additionally, our cost, the ratio of debt to EBITDA on the overall portfolio was 4.1x, another indication of prudent risk. Our credit quality since inception 7 years ago has been excellent. Of the 314 companies in which we have invested we have experienced only five non-accruals. On those five non-accruals, we have recovered $1.07 on the dollar so far. On December 31, we had one non-accrual on our books representing 0.4% of the portfolio on a cost basis and 0.2% on a market value basis. In terms of new investments we had another active quarter investing in attractive risk adjusted returns. Our activity was driven by a mixture of M&A deals, growth financings and refinancings. And virtually all these investments we have known these particular companies for a while and I studied the industries or have a strong relationship with the sponsor. Let’s walk through some of the highlights. We invested $11 million in first lien debt of Cadence Aerospace. Cadence is a Tier 2 precision manufacturer and integrator of flight critical components, sub-assemblies and assemblies. Arlington Capital is the sponsor. Teva [ph] Holdings produces and sells haircare products. We purchased $27 million of first lien term loan. Ares Management is the sponsor. We lend $15 million of first lien term loan and invested $1 million of equity in GCOM, GCOM Software, which is a software and IT services – IT solutions provider for state and local governments. Sagewind Capital is the sponsor. Sonny’s Enterprises manufactures and distributes carwash equipment, parts and supplies. We lend $15 million of first lien term loan. Sentinel Capital is the sponsor. Turning to the outlook, we believe that 2018 will be active due to both growth in M&A driven financings, due to our strong sourcing network and client relationships we are seeing active deal flow. Let me now turn the call over to Aviv, our CFO to take us through the financial results.
Aviv Efrat: Thank you, Art. For the quarter ended December 31, 2017 core net investment income was $0.25 per share. We had $0.29 per share of non-recurring upfront fees relating to the renewal of our credit facility and the issuance of our $139 million unsecured notes. Additionally we have about $0.01 per share of incentive fees accrued but not payable. This resulted in GAAP NII of negative $0.05 per share. Looking at some of the expense categories, management fees totaled $2 million including $100,000 that accrued but not payable incentive fees. General and administrative expenses totaled about $1.1 million and recurring interest expense totaled about $2.6 million. During the quarter ended December 31, net unrealized appreciation on investment was about $3.5 million or $0.10 per share. Net realized losses was $2.8 million or $0.08 per share. Net unrealized appreciation on our credit facility and notes was $3.1 million or $0.08 per share. And dividend in excess of income was $12.4 million or $0.34 per share. Consequently NAV went from $14.10 per share to $13.86 per share. Our entire portfolio and our credit facility our mark to market by our Board of Directors each quarter using the exit price provided by an independent valuation firm or independent broker dealer quotations when active markets are available under ASC 820 and 825. In cases where broker dealer quotes are inactive, we use independent valuation firms to value the investments. Our portfolio is relatively low risk. It is highly diversified with 84 companies across 24 different industries, 84% is invested in first lien senior secured debt, 5% in second lien debt, 6% in subordinated debt and 5% in equity. Our investment in PSSL whose underlying investments are first lien senior secured loan represents about 77% of the subordinated debt and equity investment in PFLT’s portfolio. Our overall debt portfolio has a weighted average yield of 8.3%, 99% of the portfolio is floating rate including cash. Now, let me turn the call back to Art.
Art Penn: Thank you, Aviv. To conclude we want to reiterate our mission. Our goal is a steady, stable and protected dividend stream coupled with the preservation of capital. Everything we do is aligned to that goal. We try to find less risky middle market companies that have high free cash flow conversion. We capture our free cash flow primarily in first lien senior secured floating rate debt instruments and we payout those contractual cash flows in the form of dividends to our shareholders. In closing, I would like to thank our extremely talented team of professionals for their commitment and dedication. Thank you all for your time today and for your investment and confidence in us. That concludes our remarks. At this time I would like to open up the call to questions.
Operator: Thank you. [Operator Instructions] And we will at this time hear first from Ryan Lynch of KBW.
Ryan Lynch: Hi, good morning. I have a couple questions on the senior loan front first, can you provide – do you have any I guess updated timing on when you would expect to launch a second JV or potentially expand the first JV?
Art Penn: Thanks Ryan. We are actively having discussions I would not want to commit publicly to when we would launch that, but it is a high priority of the firm to do, so it’s taking a lot of time on.
Ryan Lynch: Okay, fair enough. And then if I look at the assets in the PSSL, they increased by about 50% in the quarter, but income was only up about 14% and it looks like the overall return of the income for float was only by 4% return on that fund for the quarter, so can you just talk about why the returns were so low this quarter, is it the timing issue and when do you hope to be a look to ramp up to that low to mid-teens type of ROE?
Art Penn: Yes. So it’s a good question, it is climbing and it depends on when you ramp and how much credit facility you drawdown versus the two forms of junior capital we draw down. We still believe as we fully ramp and again when it’s a new portfolio your byte sizes are a little smaller, the leverage is a little bit lower, but as you ramp both the byte sizes can get a little bigger and your leverage can be a little bit more optimized. So no doubt as we continue to grow the vehicle in a methodical, cautious and careful way, but still growing, we are going to get to our target in the low to mid-teens ROE.
Ryan Lynch: Okay, that kind of goes to my next question as far as bite size goes, when I actually looked at the portfolio for PSSL as you guys disclosed in your 10-Q, it shows that the five largest portfolio companies are about $41 million, which represents about 27% of PSSL’s portfolio, so I was just wondering that feels fairly large, do you expect the bite sizes to basically stay the same going forward and as that portfolio grows from roughly $150 million closer to $300 million that concentration shrinks or will you actually expand the buy sides as PSSL grows and it will still have a fairly concentrated portfolio?
Art Penn: Yes, I mean we are targeting at least 30 names in the portfolio, i.e., 3% positions, 4% would be a big position for us. I’d say the majority of the businesses will be 2% to 3% over time.
Ryan Lynch: Okay. And then I just noticed you guys had at the end of the quarter about $128 million of cash on the balance sheet, why was there also – I guess $193 million drawn on the credit facility with all that cash in the balance sheet?
Art Penn: Yes, so the cash came primarily from our bond offering, which we are very pleased with that bond offering at attractive long-term fixed rate. That came there, the credit facility financing we have is a securitization style of financing. One of the reasons we can – we only pay 200 it’s securitization style. So, there is an SPV that holds the assets and it’s not immediately – it’s not easy to redeem as possible. So for us, the cash the $128 million of cash is just going to be used initially to buy our next wave of assets. That will top up the cash. And then once those assets will be contributed to either the SPV for our credit facility or they will be contributed to PSSL subject to approval of Kemper and our lender or they will be held at the parent company, but to us that was an efficient way to do that.
Ryan Lynch: Yes, that makes sense. And then just one last one if I can, can you just give any outlook now that we are about a month – little over month into the first quarter of 2018. Just how you guys are viewing capital deployment and repayment so far?
Art Penn: I know it’s early. Typically, there is a seasonality to our business which I am sure you and a lot of people in the call know. Lot of deals get done in the December quarter and January is a little slow. We have started to see in the last couple of weeks activity pickup. So, we think it’s going to be kind of a normal quarter for us whatever that means our first and foremost goal is capital preservation. We never want to rush, but we are active. The teams that we have built around the country and elsewhere the relationships we are building remain very stronger everyday. So, we continue to be very excited about the commercial opportunity to grow the portfolio over time.
Ryan Lynch: Okay, thanks for taking my questions.
Art Penn: Thank you.
Operator: And we will hear next from Mickey Schleien of Ladenburg.
Mickey Schleien: Yes, good morning everyone. Art, clearly the SLF had strong growth this quarter in terms of assets, but I have seen some other SLFs shrink a bit as money is being taken off the table given how tight the markets are. So, I would like to understand where you are finding value in the more liquid markets where the SLF is investing?
Art Penn: Yes, so just to be clear Mickey, our PSSL is doing the same types of deals that are going into PFLT, which are primarily self-originated first lien loans directly from middle-market financial sponsors. So just to take a step back, we have been investing in our team, in our infrastructure over the last 3 years with offices around the country and elsewhere. So, we are originating more deal flow actually right now than we have the capability while still maintaining diversification. So, we have the nice problem of our middle-market financial sponsor clients saying to us. We wish you could write bigger checks into our deals and we say look we have to maintain proper diversification for our vehicles. So, we can write the check out on whatever it is 30 million, 35 million between PFLT and PSSL. So, we are in that nice fortune position of being able to be very picky and selective about what comes into these portfolios and much of what is going into PSSL is very similar what goes into PFLT.
Mickey Schleien: Art, are there any particular industries perhaps where you are seeing some better value and you are targeting at the moment?
Art Penn: It’s all across the math. We, in this environment are very focused on finding companies that we believe are recession-resistant in industries that we believe are recession-resistant industries, where the leverage is low, where we get covenants, we are still getting covenants by the way and where we can be an important lender to borrower. So if you are to ask our team around the country, our biggest opportunity is to find more capital to channel into somebody’s companies which is why we did the equity deal going back, why we did the credit facility in advance. And by the way we thought that doing both the bonds and the credit facility were very well timed. We are thrilled to go and lock in a long-term credit facility L-plus 200. We are thrilled to lock-in long-term bonds of 3.8%. We paid the one-time upfront cost and it came through the income statement this quarter, but that will be non-recurring. So we really think we have a really good hand right now. We have a lot of liquidity. Our teams are originating interesting deal flow and we feel good about the market opportunity.
Mickey Schleien: Okay. And my last question I think yesterday you said PNNT’s average – I don’t remember you mentioned PNNT’s average EBITDA, I would be interested in knowing what that number is and also what the average EBITDA numbers of PFLT in the portfolio?
Art Penn: Yes. Something we typically do not disclose as a general proposition. On average the EBITDAs tend to be between $15 million or $40 million in PFLT I would say probably about almost $20 million or 30 million or so.
Mickey Schleien: Okay and is it similar PNNT?
Art Penn: PNNT is pretty similar.
Mickey Schleien: Okay, I appreciate your time this morning. Thank you.
Art Penn: Thanks Mick.
Operator: And our next question comes at this time from Chris York of JMP Securities.
Chris York: Good morning guys and thanks for taking my questions. So most of them have been asked, I was going to focus on PSSL, so just one clarifying questions for you, you had net realized loss of $2.8 million in the quarter, how much of that was in Charming Charlie?
Art Penn: That was Charming Charlie. So we sold – we got out of Charming Charlie which is a bankruptcy we decided for us redemptions to pursue it and make sense for us to exit the field, so that as where that number came from.
Chris York: Got it. And no additional realized losses, outside of Charming Charlie?
Art Penn: That’s correct.
Chris York: That’s it for me. Thanks Art.
Art Penn: Thank you.
Operator: [Operator Instructions] Our next question comes from Doug Mewhirter of SunTrust.
Doug Mewhirter: Hi, good morning. I missed, my questions have been answered, on the PSSL just to get an idea it looks like you had a nice little up-tick in growth this quarter, do you expect that to sort of grow as proportionally with your origination activity or would you maybe ramp that up a little bit quicker than the growth rate of your on balance sheet portfolio?
Art Penn: Yes. It’s a great question. We certainly are prioritizing the PSSL given the higher ROE it generates. So I’d say by and large, they are going to grow together, but if we have a deal that fits the PSSL and it’s a smaller bite and it can – will just probably slide is the PSSL, that’s very ROE accretive for the company.
Doug Mewhirter: Okay. Thanks for that. My second and final question on more of the market is a question, how are you seeing spreads I mean obviously LIBOR is a nice tailwind for you now, but how are spreads doing in terms of the competitive environment there was a lot of talk in high yield markets, in the traditional middle markets where spreads have tightened a bit, I am just not sure how that’s affecting the top end of the capital structure for these smaller and midmarket companies that you are looking at for PFLT?
Art Penn: Nothing ordinary relative to last quarter to, roughly flattish in terms of our experience in terms of spreads.
Doug Mewhirter: Okay. Thanks. That’s all my questions.
Art Penn: Thanks Doug.
Operator: And our next question comes from Ray Cheesman of Anfield Capital.
Ray Cheesman: Thank you very much for taking my question. Art, I just I want to give you an opportunity to speak while we are all here together on the phone, this year is down 4.5% during the call, what is the market missing?
Art Penn: We did have some one-time cost this quarter for redialing basically the whole right hand side of our balance sheet, which our one-time nonrecurring expense. We made those investments essentially or that investment essentially, because we think it was a very good time to do so to lock in attractively priced long-term credit facility long-term to lock in long-term 3.8% unsecured notes opportunistically. And we take those expenses upfront so that we then do not amortize those expenses over the life of those deals. So number one, it’s easier to model for people to model the expenses, but also our interest expense going forward. Our interest expense going forward is lower than our peers, because we do not amortize at $10.9 million over the life of the deals. So, it doesn’t impact our taxable spillover, but it does impact our GAAP on a nice basis. So even though it’s a big one-time expense, we are going to make it up and I think shareholders will feel really good about both the credit facility and the bonds every quarter going forward as they see the results of this company. So, don’t know we don’t spend a day trying to understand why the market trades the way it is, we put out and then try to find good deals and while we can lock in great financing on liability side we do and that’s exactly what we did.
Ray Cheesman: Broader kind of market type question, I know that about 70% of the deals done last year had zero LIBOR floor. I am wondering if you think that you mentioned earlier that you are still getting some covenants, I am wondering if you are still able to hang on to the protection of the LIBOR floor, I don’t know how long the current up-cycle will go, but I think there is a lot of people who are going to be rather surprised when this cycle as it naturally does, it goes back to the other direction again and without LIBOR floors. While some of those loans they make – that they maybe holding for couple of years won’t end up being very profitable. So I am just wondering what are you seeing in the LIBOR floor business?
Art Penn: We are still getting LIBOR floors typically of 1% or so. That’s a typical loan that we do granted, 3-month LIBOR. I think as of yesterday it was 1.8%. So right now, they don’t have a lot of value, but we have them in the downside case as you point out, Ray, if LIBOR goes back lower again. So, we are getting them in the vast majority of the cases.
Ray Cheesman: And lastly, I just wondered if you had any color that you would be able to share with us. It’s – we don’t see very many BDCs get 3.83 money out of Israel, I am just wondering if there is a back story you are able to give us just so we understand your creativity?
Art Penn: Yes, sure. We have been looking at the market for a few years. The real estate industry has tapped that market over the last few years on a consistent basis, so it looked attractive. We developed a relationship with the merchant bank that focuses on SEC, which focuses on the Israeli capital markets. We investigated that we spend a lot of time thinking about that. We talk to the rating agencies. We are rated by an affiliate of S&P over there. We got a very attractive rating AA minus. And we did some test marketing and we thought it would be attractive capital. So, we pulled the trigger and did a roadshow and we are very pleased with the results and we think that’s again the upfront fees are one-time non-recurring item in this quarter’s income statement, but at 3.8% or so for average like-for-like 4.6 years unsecured, we think that’s going to be really, really helpful to shareholders on an ongoing basis and that piece of paper will generate very nice accretion on an income basis over time.
Ray Cheesman: Yes, we wanted to say thank you for your timing, it was perfect.
Art Penn: Thank you. I mean that’s we feel good about that as well as our credit facility redialing. So granted it’s a one-time expense in this quarter’s income statement. We think its non-core. It’s a non-recurring, non-core that’s why we disclosed core NII, but we feel really fortunate to have a lot of liquidity where the market may or may not be going through some turbulence locking in really great long-term capital, granted taking the one-time and non-recurring income statement item, but in long run, we are – we think our shareholders will look back on this investment we made in both the credit facility and the bonds and say those were very well-timed and opportunistic financings.
Ray Cheesman: Thank you very much for my questions.
Art Penn: Thank you.
Operator: And at this time, there are no further questions in the queue. Mr. Penn, I would now like to turn the conference back to you for any additional or closing remarks.
Art Penn: I’d just like to thank everybody for their interest in PennantPark Floating Rate Capital and we look forward to speaking with you in early May. Thank you very much.
Operator: And again, that does conclude our call. We would like to thank everyone for your participation. You may now disconnect.